Operator: Good afternoon. My name is Kowsi, and I’ll be your conference operator for today. At this time, I’d like to welcome everybody to the Amerigo Resources Q3 2021 Financials Conference Call. All lines have been placed on mute to prevent any background noise. After the formal remarks, there’ll be a question-and-answer session. [Operator Instructions] Thank you. Mr. Jonathan Paterson, you may begin your conference.
Jonathan Paterson: Thank you, operator. Good afternoon, and welcome, everyone to Amerigo Resources quarterly conference call to discuss the company’s operating and financial results for the third quarter of 2021. We’re delighted to have you join us today. Please note that all dollar figures quoted in this call are U.S. dollars, except where otherwise indicated. Our call today will be led by Amerigo’s Chief Executive Officer, Aurora Davidson; along with the Company’s Chief Financial Officer, Carmen Amezquita. Following our prepared remarks, we will open the conference call to a question-and-an-answer session. Please note that comments made on this conference call may contain forward-looking statements. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from actual outcomes. Please refer to Page 21 of Amerigo’s third quarter 2021 management discussion and analysis for the company’s cautionary statement on forward-looking information. I will now hand a call over to Aurora Davidson. Please go ahead, Aurora.
Aurora Davidson: Thank you, Jonathan. Welcome everyone to the earnings call to discuss Amerigo’s third quarter 2021 financial results. Let me take a few moments to share some sad news that Amerigo’s Director, Dave Thomas passed away suddenly and unexpectedly this week. Dave joined the Board earlier this year and he had a wealth of technical experience to share with us. He will be greatly, greatly missed. Here is an overview of the quarter to provide context to my following remarks. We are pleased report a strong operational and financial quarter. Our operation in Chile, MVC produced 16 million pounds of copper and 343,000 pounds of moly at a cash cost of $1.62 per pound. We reported Q3 net income of $8.4 million, EBITDA of $18.5 million and earnings per share of US$0.05, CAD0.06. We expect to beat our 2021 annual production guidance of 61 million pounds of copper. Amerigo will be ending the year with a strong balance sheet, a refinanced and manageable bank debt of $31.5 million and a $15 million line of credit to buffer market cyclicality should this arise. We will also have fully repaid the loan to El Teniente taken last year to pay for settlement adjustments and quite significantly a Amerigo now once again a return of capital policy in place. Because a topic of capital repatriation has been so important to the Amerigo story. Let me start my remarks with the discussion of our recent actions. On September 28, we announced a payout policy to start returning capital to shareholders, the payout policy comprised, there is statement of dividends and an initial share purchase under a substantial issuer bid. On November 1, the Board of Directors of Amerigo declared a quarterly dividend of CAD0.02 per share payable on December 20 to shareholders of record as of November 30. Based on the September 30 share closing price of CAD1.26, this represents an annual dividend yield of 6.35%. The objective of the dividend policy is to have steady, safe, quarterly dividends that can gradually grow over time. The dividends will be declared at the discretion of the Board on a quarterly basis, depending on the company’s quarterly financial results and other factors of relevance determined by the Board, which could include the copper market outlook and the maintenance of appropriate levels of working capital. With a stable, quarterly dividend now in place, we are also starting to look at alternative methods and their costs of putting in place, downside copper price protection. During the quarter, we also announced a substantial issuer bid. The bid expires in November 12, and we will announce the bid results to shortly after the expiry date through a press release. I can provide a little caller for you in that we know that in this type of bids shareholders commonly tendered their shares during the last days of the bid. And that is what we think is happening here. However, from my perspective, whatever occurs with the bid will be a win for Amerigo. When you going in that certain long-term shareholders wanted to reallocate their portfolios. So Amerigo essentially facilitated a block trade with Amerigo as a counterparty minimizing market disruption. Now, if a high number of shares are tendered for repurchase under the issuer bid, we will consider this a successful exercise that accomplished the intended goal. However, if a low number of shares are tendered, this will clearly indicate that this investors have changed their view of the relative value of Amerigo in their portfolios and we also think that would be a great outcome. In this scenario, we would also have additional capital for a normal course issuer bid in the near future should the Board desire to initiate one. Now, let me move on to the operational details of the quarter. As I mentioned before, we are pleased to report a strong production quarter with a low cash cost. Copper production was 16 million pounds of copper at a cash cost of a $1.62 per pound. Moly production was 343,000 pounds. MVC’s operations continued through the third quarter without any disruptions due to COVID-19. In terms of work safety, there were no accidents with lost time in the quarter for neither MVC workers nor subcontractors. Q3 was a particularly important quarter as MVC undertook its annual planned maintenance shutdown completely halting production for eight days during September and one day during October. It was an extensive and challenging program with more than 1,390 maintenance tasks and projects completed. Excluding the annual shutdown MVC’s average plant availability during Q3 was 97.6%. During the quarter, MVC completed a series of planned plant optimizations to process a higher volume of fresh tailings without sacrificing recovery. As a result, production from fresh tailings and Q3 accounted for 54% of our production increasing to 8.6 million pounds of copper due to higher throughput and higher grade. Recovery from fresh tailings was 22.3% in Q3. Please remember that we must accommodate both the fresh tailings from El Teniente and the historical tailings from Cauquenes. Given the higher volume of fresh tailings coming to the MVC plant processing volume from Cauquenes had to be modulated down to an average of 52,981 tons per day. The best way I have to summarize what we have done at the plant is to say that we are capturing as much as we can from the flow of fresh tailings and not depleting Cauquenes as quickly. We’re essentially extending the life of that finite deposit while maximizing the contribution from fresh tailings. I would like to highlight that we will incur higher than anticipated capital expenditures this year. Our normal level of annual sustaining CapEx is $6 million. The longer period observed between maintenance shutdowns 2020 to 2021 resulted in additional necessary work having to be carried out in September and CapEx was so also affected by rising costs for spare parts, replacement components and subcontracted labor during the shutdown. We have also added additional projects to improve equipment performance. This could bring the total annual CapEx to $9 million. We expect lower CapEx in 2022 and are confident that the work we have done this year is important to ensure we have no production interruptions during this high copper price times. Here is an update on our water situation. The 2021 rainfall season in Chile is now over and marked a return to drought conditions. Although not as dire as in 2019, which was the worst drought in Chilean history. Notwithstanding MVC has been able to maintain healthy level of water reserves in U.S., which are currently 7.3 million cubic meters. This is down from a peak of 10.5 million cubic meters at the end of the 2020 rain season, because water content in our fresh tailing stream is critical to our processing, MVC has held discussions with El Teniente concerning their own water risk assessment for 2022. Given the latest defrost water flow reports prepared by Chile’s general directorate of water El Teniente does not currently expect any water supply shortages in 2022. So that is also excellent news for us. Water supply is very much on the radar of all miners in Chile, major such as Antofagasta, and Anglo American have publicly flagged ongoing drought conditions in their areas of operation as a substantial operating risk and have adjusted their own 2021 production guidance downward. During the plant shutdown, MVC completed most of the work to optimize its three water thickeners, which are core to MVC’s ability to recirculate water in the plant. All the new electrical equipment and measure pumps for the three thickeners are now in place. And one of the thickeners now has all the bells and whistles. The upgrades in thickener two will be completed during MVC’s plant maintenance shutdown in Q1 2022. The third thickener will not require a prolonged plant shutdown to be completed and MVC will assess the best time to do this next year without hindering our product plan. To sum up, well, there is no immediate water supply risk identified for 2022, MVC will continue to assess its mid and long-term water supply risk. We’re constantly striving to increase our water efficiency, and as some example, our team in Chile is evaluating ways of reducing water evaporation in [indiscernible] during the summer months. This initiative will not be the last of our efforts. In October, MVC underwent the external audits required to obtain the ISO 5001 energy management system certification. This will validate MVC as an organization with a system in place to achieve continual improvement of energy performance, including energy efficiency, use and consumption. MVC expects to officially receive this important certification in Q1 2022. I know there is always interest in Chilean politics, so I will offer the following comments. There appears to be more clarity, but also more polarization in respect of the leading candidates on Chile’s presidential election taking place later this month. In recent weeks, the conservative candidate José Antonio Kast has searched in the pulse and is currently commanding a lead with 24% support. If no candidate wins at least 50% of the vote on the November 21 election, a runup will take place on December 19. Candidate cast is a proponent of shrinking the role of the state and cutting taxes, including reducing Chile corporate income tax from 27% to 17%. We will continue to monitor this situation. And finally, a few words about the robust performance of copper prices that we have been experiencing. The average LME price from January to October was $4.19 per pound. And October’s average price was $4.43 per pound, the second highest month of the year. In our opinion, the market outlook for copper remains strong. Various shareholders have reached out and requiring what happens with the royalties to El Teniente, if copper prices go over the current upward limits on a royalty agreement. The first thing I have to say is that this is a great “problem to have”. Our contract with El Teniente states that if the average monthly LME copper price goes over $4.80 pound for fresh tailings or $5.50 per pound for Cauquenes for two consecutive months and projections indicate the permanence of those higher prices over time, MVC and El Teniente will need to negotiate essentially the continuation of the royalty scale to maintain the same balance of the business split between MVC and El Teniente as that, which we currently have within the established price band. The contract also specifically mentions that maintaining the equilibrium between the parties is a condition that not estimate. In other words, we would not be facing a clean slate negotiation. To provide some more context, the only time when we have been out of price range was when moly prices fell below the range some years ago. In that case, the discussions with El Teniente were uneventful and the royalty was adjusted to reflect the lower price. We anticipate that potential future discussions in copper royalties outside of the price band would again be uneventful. To wrap up my presentation, we are two months from closing a strong year at Amerigo. In 2022, we expect to continue this trend of consistency and predictability. We anticipate providing 2022 guidance in conjunction with the release of the Q4 2021 production results early in January and we will hold the next earning calls towards the end of February. Carmen Amezquita, Amerigo’s Chief Financial Officer will now report in detail the Q3 financial results.
Carmen Amezquita: Thank you, Aurora. We’re pleased to present the Q3 2021 financial report from Amerigo Resources and its MVC operation in Chile. In Q3, the company continued its strong performance of 2021. Amerigo posted net income of $8.4 million earnings per share of $0.05 or CAD0.06 Canadian per share. EBITDA of $18.5 million and quarterly operating cash flow before working – before changes in working capital of $14.1 million. At September 30, the company’s cash and restricted cash balance was $71.4 million, ending cash at quarter end was $64.9 million, an increase of $17.2 million during the third quarter and an increase of $52.2 million during the first nine months of the year. Total borrowings decreased from $53.8 million to $36.1 million. This change is the result of the repayment of debt and debt refinancing completed during Q2. Amerigo’s financial performance is highly sensitive to copper prices. Amerigo’s average copper price for Q3 2021 was $4.23 per pound, 39% higher than Q3 2020’s quarterly copper price of $3.04 per pound. Another factor affecting earnings are the changes in copper price from one quarter to the next. This is still because of our M+3 price convention for copper sales, where the final settlement price is the average LME price for the third month following production of copper concentrates. At September 30, 2021, MVC’s provisional copper price was $4.23 per pound and final prices for July, August, and September sales will be the average London Metal Exchange prices for October, November, and December respectively, a 10% increase or decrease from the $4.23 per pound provisional price used on September 30, 2021 would result in a $7.2 million change in revenue in Q4 in respect of Q3 production. Today’s copper price is $4.43 per pound. Revenue during Q3 was $48.1 million compared to $37.6 million in Q3 2020. This included copper tolling revenue of $42.5 million and molybdenum revenue of $5.6 million. Revenue is made up of net copper revenue of $42.5 million and molybdenum revenue of 5.6 million. Within the copper revenue of $42.5 million, the gross copper sales were $72 million and there were negative settlement adjustments of $2.9 million. And then deducted from revenue, we had $20.6 million in royalties to DET, smelting and refinery costs of $5.5 million and transportation costs of $520,000. Total tolling and production costs including depreciation were $33.9 million. This compares to tolling and production costs of $28.6 million from the comparative Q3 2020 period. Cash cost per pound decreased 10% to $1.62 per pound from $1 80 per pound in Q3 2020. In Q3 2021, there were general and administrative costs of $1 million compared to $604,000 in Q3 2020, the $403,000 increase in general and administrative expenses relates mostly to $157,000 increase in salaries, management and professional fees in connection with legal fees and tax advisory costs associated with the issuer bid and repatriation of cash from Chile to Canada. $156,000 increase in share based compensation and $90,000 increase in office and general expenses, mostly due to higher shareholder communication and investor relation costs. The derivative to related parties during the quarter had a loss of $85,000 compared to a loss of $303,000 in Q3 2020. This difference is related to the fair value adjustment recovery during the quarter from the fluctuation of metal prices and discount rates. Other losses were $454,000 compared to $15,000 in the prior year period. The increase relates mostly to the increase in foreign exchange loss of $374,000. Finance expenses were $1.1 million this quarter, compared to $784,000 in Q3 2020. This difference is mostly the result of $614,000 from the fair value adjustment loss on interest rate swaps that were recorded in the period compared to the prior periods $392,000 fair value adjustment recovery. In Q3 2021, the company recognized an income tax expense of $3.1 million and a year-to-date tax expense of $11.7 million. Tax expense includes both current tax, that is the actual taxes paid by the company and deferred tax, which is a non-cash figure to reconcile timing differences between financial depreciation and tax depreciation. The company’s current tax liabilities are shown on the balance sheet and on September 30 were $6.5 million. Current taxes for 2021 will be paid in April 2022 by MVC. The balance sheet also shows a deferred income tax liability of $30.8 million, which is the balance that tracks the timing differences and does not represent taxes outstanding or due by the company. In Q3 2021, the company posted a net income of $8.4 million and in year-to-date net income of $30.9 million. In respect of cash flow in the quarter, cash flow from operating activities before working capital changes during Q3 was $14.1 million or $25.4 million after working capital changes. Year-to-date, the cash flow had $50.7 million from operating activities before working capital changes and $75.4 million after. Cash flow from investing activities was $6 million from the purchase of plant and equipment, as well as capitalized maintenance costs. Cash used in financing activities was $2.2 million. This is mostly made up of the repayment of borrowings of $1.9 million as well as lease repayments of $252,000. Overall, there was a net increase in cash and cash equivalence of $17.2 million in Q3 and in ending cash balance of $64.9 million. Additionally, the company held $6.4 million in restricted cash. Production results in the third quarter of 2021 were strong with copper production 109% of Q3 guidance and 101% of guidance year-to-date. We will report the annual 2021 financial results in February 2022 and want to thank you for your continued interest in the company during this year. We will now take questions from call participants.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] Your first question comes from Mark Reichman from Noble Capital. Please go ahead.
Mark Reichman: Thank you for taking my questions. And it certainly was a strong quarter. So the first question is, as you had mentioned at the outset that investors had inquired about downside protection to copper prices. And I just wanted to get your thoughts on around hedging, because I know in the past, the company had engaged in some short term hedging programs or would you – do you feel like the outlook is strong enough for copper that you just want to be fully exposed to the price environment.
Aurora Davidson: Thank you, Mark, for the question. That’s a good question. We want to have the full upside exposure on copper prices. I think that’s a critical aspect of the Amerigo story. But we have a dividend policy in place, we want to protect the dividend and we are looking at alternatives and associated costs of having some downside protection, whether we proceed with it or not remains to be seen, but we’re doing our homework in that respect.
Mark Reichman: And then the follow-up question is, the cash costs were $1.88 a pound in the first quarter declining to $1.81 in the second quarter and then $1.62 in the third quarter. And I believe the guidance is still at $1.79 for the full year and copper productions likely to remain strong. So any commentary around what you’re seeing in terms of the costs, have you seen any inflation among some of those line items within the cash costs or how would – what would your expectations be for the fourth quarter, say, relative to the first nine months.
Aurora Davidson: We have cyclicality and some of the costs that we have to incur. We have a big amount of work to do in respect of environmental work and dust suppressant that has to be done in Q4. So there is some timing issues that come into place that create a little bit of a noise into how the behavior works one quarter to the next and that factor into the fact that we basically have stated that we remain guiding towards the initial guidance we provided for annual cost of $1.79 for the year. Now, what have we seen in terms of inflationary pressures for sure, spares, replacement materials, reagents, those costs are going up. We bought or we entered into supply agreements for critical aspects of our plants, such as grinding balls and lime earlier on this year, that will continue for 2021 and for at least a portion of 2022. We are preparing our budget for next year right now, but there is an inflationary trend in respect of some of the materials that are used in the plant. As I mentioned, reagents and essentially everything associated with maintenance, including replacement parts, spare parts, critical spares, et cetera.
Mark Reichman: That’s very helpful. Thank you very much
Aurora Davidson: Okay.
Operator: Your next question comes from Terry Fisher from CIBC. Please go ahead.
Terry Fisher: Thank you. Again, congratulations super quarter. This is what we’ve been waiting literally years to see and you’re delivering now Aurora and it’s a wonderful thing for those of us who stayed in so long. And I think there’s a lot more to come. I just have my first question was answered by the previous caller’s question about hedging. And you had always said that, since you’ve basically got an open ended call on the price of copper because of the El Teniente royalty, it’s dangerous to cap much of the upside. But there might be a way to do it by purchasing an outputs to cover delivery of some copper to minimum price to cover the dividend. So – but we’ll wait to hear your work on that. My question’s a very simple one, in the substantial issuer bid circular, it’s indicated in there, one of your major shareholders is intending to tender up to 10 million shares. I’m wondering if that obligation – is that an obligation or is that just a statement of intent, but they don’t have to tender those shares. Do you have any kind of indication at this point that there will be at least some shares tendered under the offer, like, those 10 million or maybe more?
Aurora Davidson: Terry, thanks for the question. It’s an intention. And there is no obligation on the part of any shareholder to participate either on the bid or to continue participating until we essentially make payment. You can tender your shares and you can retire your tender provided – you still haven’t received payment. So that can happen up to the very last minute. We have no update as to what number of shares would be intended to be submitted and that’s okay.
Terry Fisher: Okay. Thanks very much. That’s all I have.
Operator: Your next question comes from Victor Ho from Yarra Square. Please go ahead.
Victor Ho: Congratulations on your results and thank you for giving me some time. Three questions. Firstly, what type of minimum cash balance do you think the company needs to have just in terms of normal course operations? Secondly, post the results of the – that the issuer bid, if there’s still a substantial amount of cash availability in the company. What do you think the options are for potentially returning that that cash to shareholders above and beyond the $0.05 dividend. And then lastly, how should we think about sort of working capital over the balance of the year? I know it can swing around if the copper price swings around, but in an environment where the copper price is fairly steady. How should we think about working capital cash uses over the course of a calendar year? Thank you.
Aurora Davidson: Victor, thanks for the questions. The first question, I think net of cash balance in the range of $25 million to $30 million is good enough to guarantee operations and that potential back and forth with the copper price through the next three months, as long as we continue having M+3 pricing. The second question was in respect of what could happen. Well, I mentioned in the – depending on the results of the issuer bid, I mentioned in my presentation, depending on what occurs with the issuer bid, we may end up having a normal course issuer bid shortly thereafter or not. I think that the position in respect of dividends has been stated as being stable, secure dividends that can grow up in time. But we don’t want to go up in a situation where we have to reduce a dividend from quarter-to-quarter. So we obviously don’t want to be keeping a huge amount of cash on the balance sheet. We’ve already stated that before. So I think that the board will act opportunistically depending on the circumstances and will look at a normal course issuer bid how to grow that dividend, et cetera. I think that those are essentially the ways forward as to how that additional cash can be returned to shareholders. In respect of working capital, if you look at our balance sheet, it’s pretty simple. We have a very little receivables. We have a very straight way of realizing cash from our clients. We have to consider that potential fluctuation of copper prices all per down. We don’t maintain a significant amount of inventory. Our – the rest of our obligations on a current basis are usually stable in respect of payments to suppliers. The royalties vary. They are tied up to copper prices. So the better we do the higher royalty balance we’ll have on the balance sheet, we usually have four months of royalties per payment scheduled with El Teniente. And as Carmen mentioned, a component of our obligations going forward will be taxes. And we’re starting to see that current tax amount buildup, which is conducive of the type of earnings we’re generating at MVC. And general terms, if you look at the maintenance of a cash balance of $25 million to $30 million, you can see that there is a trend for that policy that I mentioned before of slowly, but steady growth into quarterly dividend that the company will have.
Victor Ho: Thank you.
Operator: Your next question comes from Stephen Aldridge. Please go ahead.
Stephen Aldridge: Hey, good morning, Aurora. Questions are on fresh tailings. I see 28% increase in your copper production came from fresh tailings in the quarter. And I wonder what you’re anticipating for fresh tailings into the future. They’re going to stay at this increased rate with a higher grade.
Aurora Davidson: Well, that doesn’t depend of us. That depends of El Teniente. We are preparing our budget for 2022 based on their mine plan and information that they will be – and they have started sharing with us. So yes, we have seen that increase in the volume and the grade of fresh tailings and we expect that trend will continue the specifics. We will discuss those at the beginning of 2022, but also important note here is the fact of the work that MVC has done to benefit from that condition, right. We – if you recall, we used to be focused on maximizing processing from Cauquenes, we realize now with all the lab work and all the testing that has been done, that a significant roadmap to having a stable operation consist of focusing on the Coarse Fraction recovery of both the fresh and Cauquenes tailings. And we’ve done a series of plant modifications this year to ensure that we can do that. We’re not only just getting more tailings and that’s the end of the story. We are able to recover a substantial amount of copper from that additional volume that we’re getting. We have reallocated our grinding capacity to have more grinding capacity for fresh tailings. They – those tailings need more grinding. Cauquenes doesn’t need to grind as much. So it’s a combination of what we’re getting from El Teniente, but also our fine tuning and optimization to make sure we can get the most out of that.
Stephen Aldridge: Okay. That’s excellent. The other thing is when the fresh tailings are coming down and you are into the maintenance mode and shut down, where did the tailings go? Do they go into…
Aurora Davidson: The maintenance shutdown happened concurrently at El Teniente and at MVC. We have to do it at the same time for exactly that that aspect that you’re alluding to. So we coordinate with them and both El Teniente shutdowns are concentrator as we shut down the MVC plant.
Stephen Aldridge: Okay. That’s way happens. Good. And the one other question, cash – the cashless exercise of the options, how does that work exactly?
Aurora Davidson: The cashless exercise, essentially, what it means is that instead of let’s say an option e-paying their strike price to the company and getting the full number of shares that they would be entitled to and then having to sell shares in the market to cover up their cost, because not everybody can have that level of disposable cash to do that. You do a net, so essentially option is get a reduced number of shares, but they don’t have to pay the cash to the companies for doing so. So the benefit to the company doesn’t receive the cash, but there’s no sort of inflow of selling into the market in order to secure that exercise price.
Stephen Aldridge: And less shares actually be go…
Aurora Davidson: Less shares are issued. Yes.
Stephen Aldridge: Yes, yes. Okay. That’s good. Thank you very much.
Operator: Your next question comes from John Polcari from Mutual of America. Please go ahead.
John Polcari: Thank you. Just several quick questions, by the way, I was saddened to hear that David Thomas had passed away after such a short tenure. He certainly had a considerable amount of expertise and will be missed by the way Thomas is not uncommon name where I ask that because is Kimberly Thomas, the Secretary in anywhere related or not. Hello? Hello? Hello?
Aurora Davidson: Hello. Yes. Sorry. I lost you for a second. There is no relationship, John.
John Polcari: Okay, thanks. Excellent job obviously on continued cost reductions. But is there any one particular area of cost that you could say has been an outsized contributor to cost reductions or across the Board? Or maybe you could just give me a little color on that?
Aurora Davidson: No, I think it’s across the Board. When we’re talking about cash cost, the contribution of moly price has a big impact. Moly prices have been strong this year. So you can get some credit to moly prices in that respect, but overall we have been quite focused on cost control on a going forward basis. We’re coming out of years of cost discipline. And we don’t want to lose that muscle.
John Polcari: Thank you. What is the restricted cash specifically applied to again the $634 million?
Aurora Davidson: Yes. The restricted cash, there are two components to it. We have to have $3.5 million in a restricted cash account until the end of 2024. And then we have to have on a monthly basis going into a restricted cash, the amount of the debt repayment that is forthcoming at the end of December 31. So when you – when we get to November 30 in debt restricted cash, we will have the full principal and interest payment that has to be paid on December 31 plus $3.5 million.
John Polcari: Thank you. You – the companies historically presented its financials in U.S. dollars, but the dividend is in Canadian dollars. Is that historically the way it has been? I wondered why the – why this difference?
Aurora Davidson: Yes. Yes. We have always reported our financial results in U.S. dollars. That’s a convention of the mining industry, but we’re traded in the TSX and we have to present dividend data or the declared the dividend on the basis of a Canadian payment per share.
John Polcari: Great, thanks. And just two minor questions. How long has the drought been in effect in essence with its substance its downs, has it been five or six years? I’m trying to remember six, seven years, how drought conditions have existed for what period of time now?
Aurora Davidson: Drought conditions – that mild drought conditions have been happening in Chile for the late last six years to seven years. They became critical two years ago.
John Polcari: Thanks. And lastly, we’ve talked about the expansion opportunities in terms of generalities. I know you’re always open to entertaining any opportunities in light of the fact that there’s a more robust amount of cash accruing, even with dividend payments. If there are minimal share repurchases and the cash continues to increase, other than obviously a steady conservative increase in the dividend. You see any opportunities for expansion other than obviously always being open to an opportunity. Is there anything that you would envision over the next two years – one to two years that might be on the horizon or not at this time?
Aurora Davidson: I think that the Board is not interested in pursuing, for example, purchases or expansions or in respective exploration projects. We recognize ourselves as leaders in the processing of tailings opportunities associated with tailings re-procesing projects are of interest to us provided they are the right opportunities, but that, that would be the focus of business development processing of tailings, not just – yes.
John Polcari: Driving, I was at Codelco is moving toward a major ongoing expansion with that drive concurrent expansion in a company’s operations also for tailings or not necessarily.
Aurora Davidson: I think we have captured a lot of the opportunities that exist with El Teniente at the MVC operation. There are other tailings deposits that El Teniente has that we’re not still having under our contractual agreements with them. And those are the most immediate opportunities that exist for us in terms of business development.
John Polcari: But not for – not over the course of the next 12 months to 18 months, it sounds like though.
Aurora Davidson: We’re evaluating a series of opportunities that may well happen within that timeframe. Anything associated with El Teniente would be more – it would be in a closer time horizon for development than anything outside of the El Teniente arena.
John Polcari: Got it. Okay. Thank you. Thanks for the time. Great quarter.
Aurora Davidson: Thank you.
Operator: Your last question comes from Dave Brown from Private Events Investor. Please go ahead.
Dave Brown: Yes, thanks for taking my questions. I have two of them, the first one deals with the thickeners. I wonder if you could just remind us about what – how much more water you’re getting from the thickeners either like percentage wise for the operation with the new improvements?
Aurora Davidson: Yes. You all want me to talk like an engineer. With the optimization work that was done at the thickeners, what we have done is that we can now manage the discharge of water from the units with variable speed. And we have a better, less fragile and more level pump and pumping system. Right now what we have done on site has the testing that we have shows that the average recovery on the thickeners has increased from 1,440 liters per second to 1,580 liters per second. There are several other optimization work that as I mentioned will be completed both on thickener number two and thickener number three to get us to an average water recovery of 1,760 liters per second.
Dave Brown: Do you know what the improvement is percentage wise? What is that?
Aurora Davidson: There is an improvement of about 20%.
Dave Brown: Okay. Thank you. The second question has to do with the shipping issues that are happening around the world. What are you doing to protect yourself in case some critical part fails? And you get a quote saying like, hey, we can’t give you this motor for another six months or something like. What are you doing to protect yourself with respect to critical components of your operation?
Aurora Davidson: We have a list of critical components at the plant. So we have our – what we consider the critical spares we have some of them, and we’re looking at what the criticality would be of other items of equipment that could have some significant lead times just to increase that list. We’ve always maintained a critical spare inventory on site, but we are expanding that further just because we have the – we have on one hand, the funds do that. And on the other hand, we acknowledge that there could be some risks associated with those. So we’re moving beyond the critical spurs list to a not so critical spurs list to have that at MVC in the near future.
Dave Brown: Okay. And I guess the final question is if the – this bid doesn’t result in a lot of cash going out to buy shares is a special dividend something that’s also on the table a onetime special dividend.
Aurora Davidson: I don’t know if the board would be amenable to a special dividend. The dividend policy that the Board has stated is stable, saved, secure dividends that can grow over time. The possibility of initiating a normal course issuer bid would also be on the table.
Dave Brown: Okay. Thanks very much for answering my questions.
Aurora Davidson: Pleasure.
Operator: There are no further questions at this time. You may please proceed.
Aurora Davidson: Okay. So we have no for other questions. I would just like to thank everybody for joining us at this call and wish you the best wrapping of the year that you can possibly have. And we’ll be announcing by news release the results of the bid and our 2022 guidance early in January of next year. Thank you so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for participating and ask that you please disconnect your lines.